Operator: Ladies and gentlemen, thank you for standing by. And I would like to welcome you to Banco Santander-Chile Results Conference Call on the 2nd of February, 2024. At this time, all participant lines are on listen-only mode. The format of the call today will be a presentation by the management team, followed by a question-and-answer session. So, without further ado, I would now like to pass the line to Mr. Emiliano Muratore, the CFO. Please go ahead, sir.
Emiliano Muratore: Good morning, everyone. Welcome to Banco Santander-Chile's fourth quarter 2023 results webcast and conference call. This is Emiliano Muratore, CFO and I'm joined today by Cristian Vicuna, Chief of Strategic Planning and Investor Relations; and Carmen Gloria Silva, our Economist. First, I want to express my gratitude for your presence at this quarterly meeting. Let's go down to business. We are here to discuss our performance during the fourth quarter. The macro conditions were more favorable as we anticipated in our last call, which helped our margins and net income recover. The Central Bank of Chile has continued its rate reduction strategy, which has had a positive impact on funding costs. We'll dive into the specifics of our quarterly results in a moment. Now I pass the line to Carmen Gloria for the macro update. 
Carmen Gloria Silva: Thank you, Emiliano. On slide 5, I present a summary of the macro overview in the country. After a necessary process of macroeconomic adjustment 2023 was marked as a year of strategic [ph] global economic growth, extended global financial conditions and emerging geopolitical tensions. All of this occurred in a context was the process of inflationary convergence was consolidated, which would have facilitated the end of the cycle of rate hike by the main monetary authorities. In this global environment economic activity in Chile continued its deceleration during 2023. Investment persisted in the adjustment profit of previous years and private consumption presented year-on-year reduction in response to elevated interest rates and the continually deteriorating labor markets. Indeed, the labor force participation rate showed visually no progress hovering around 61% of nearly the entire year below pre-pandemic levels and the unemployment rate escalated to 8.5%. Despite this weakness, economic activity was bolstered by strong case effects emanating from specific supply factors. On one hand, the added value of electricity generation received an additional impetus into due to increased rainfall in the countries. On the other hand, the mining sector displayed improved performance due to the start of new projects. The level of activity would have contracted marginally in 2023 exhibiting an annual variation of minus 0.2% less than the previously estimated. For the current year, economic activity is projected to grow at a rate of around 2% propelled by less restrictive financial environment, increased labor market dynamism during the latter half of the year and the search in mining production. This process will persist through 2025, culminating in an expansion of 2.5%. Domestic inflation continued its effect at a process base than anticipated. The CPI concluded 2023 with an annual variation of 3.9% falling below what was projected. And the US variation closed at 4.8%. The adjustment in the national and energy prices, the quickness [ph] in domestic demand a constructional monetary policy and the appreciation of the exchange rate at the first half of the year were crucial factors for this decline. In the next month, inflation will persist in its downward trend until reaching 3% at the onset of the second quarter and it will cover with some temporary increases around that value until the year's end. As of January 2024, a new consumer basket was considered in the CPA calculation. According to our preliminary analysis, this new asset would not introduce any value after prices dynamic payments. Lower inflationary pressures permitted the continuation of the monitoring amortization cycle. The Central Bank accumulated a reduction of 300 basis points in the monetary policy rate during 2023, concluding at 8.25%. For the current year, the reductions continue with a cut of 100 basis points in January and for the coming meetings to be held at the beginning of April, a new record decrease is projected between 100 and 125 basis points, and it will be set to 4% at the year's end close to its neutral value. The exchange rate has recently depreciated again beyond the value explained by its fundamentals. This upward trend exceeded that at certain other regional currencies, responding to the minor rate differential. In our central scenario the exchange rate would rectifiy its deviation and appreciated towards the year's end to lever approaching CLP 870. This in response to the anticipated weakening in their zonal globally, the recovery of international copper prices and adjustments in the global monetary cycle, particularly by the site, which will aviate pressure on the rate trend.
Emiliano Muratore: Thank you, Carmen Gloria. Turning our attention to slide 7. Let me begin by reminding you of our commitment to our four key strategic pillars that are part of our Chile First strategy. We would like to take the opportunity to highlight some of our main achievements in 2023. Firstly, we are the largest bank in Chile in terms of total volume, the sum of loans and deposits with a market share of 17.4%. Our place in the Dow Jones Sustainability Index for emerging markets was confirmed being the only Chilean bank to qualify for this index and emphasizing our leadership in sustainability. In this context, we issued our first green bond for around US$50 million under our ESG framework. This issuance was the first in Chile to stay green mortgage as the use of proceeds. Currently, we have a growing portfolio of approximately CLP100 billion in green housing that complies with the highest housing energy certifications by the Ministry of Housing and Urban Planning in Chile. We offer preferential interest rates to clients using green housing and we also contribute to consolidation and preservation projects in Chile. We continue to remain committed to financial inclusion through our digital initiatives Santander Life and Más Lucas. Just in 2023, we have contributed by facilitating access to a bank account to more than 167,000 people. The advances in our digital initiatives have driven our clients to reduce their cash transactions allowing us to accelerate the transformation of our branches. By year-end 2023, we reached 91 Workcafés including five Expressos, which we will hear more about in a few slides. Thanks to these advances. We have the highest quality service among Chilean banks on the fourth -- for the fourth consecutive year with an NPS of 60 and we have been recognized as Best Bank in Chile by Euromoney and The Banker. Our earnings potential has been acknowledged by the market with our total shareholder return reaching an impressive 35.8% in 2023 the highest among our Chilean peers and doubled the return of the Chilean stock index in 2023. Moreover, we announced our new investment plan for 2023 to 2026 for $150 million to continue with the modernization of our branch network as well as tech initiatives to progress with our strategic pillars. Now moving on to our strategy Chile First on page 8. First and foremost, we are seeing a transformative journey towards becoming a digital banquet branches. Our transformation into a digital bank is not only adopting the latest technology but also about creating a physical presence through our innovative work effects. These spaces are more than just places to interact with customers. They are dynamic hubs that promote connectivity with advanced technology and our commitment to excellent service our Workcafés are designed to redefine the banking experience. Our second pillar is centered on providing specialized value-added services tailored to our corporate newer markets and private banking clients. Our commitment is to deliver premium transactional trade, foreign exchange, and advisory products and services, ensuring our clients receive a top-notch experience. In our third pillar, we are committed to fostering innovation and proper lean growth. We are not content with the status quo. We aim to lead the change in redefining the banking landscape. We actively seek out new business opportunities pioneering the sustainable transformation of our clients. By challenging conventions, we aim to drive growth and cultivate success. Lastly, we place great importance on the role of our organization. To realize our objectives, we are dedicated to building an agile collaborative and high-performance culture. We recognize that diversity is our strength, and individuals will flourish based on merit. We are constructing a thriving community where talents are nurtured and innovative ideas are highly valued. The outstanding success of our digital products has been firmly established during 2023, with the continued growth of our digital client base. Key initiatives such as Santander Life, and more recently, Más Lucas have been instrumental in achieving this. The Más Lucas account was launched in March 2023, and is the first 100% digital sites on saving account for the mass market. It now has over 117,000 clients exceeding our initial expectations for the year, and it currently accounts for more than 30% of our new account openings per month. Not only -- the onboarding process for Más Lucas is entirely digital featuring facial recognition technology and no password requirements. This account comes with no fixed or variable costs and has accepts deposits up to CLP 5 million. On slide 10, we can see how the advances of our digital strategy is allowing us to continue the transformative -- transformation of the branch network through Work Cafés to improve productivity. Our banks Work/Café branches are expanding to cater to the specific needs of our clients. We have launched three new types of Work/Café formats including the Work/Café Expresso, which consolidates cash operations into transaction hubs, while maintaining our work at the ambience. This is a great initiative as it provides an efficient and secure banking experience for our customers. We have already opened five of these branches in 2023 and since its launch the NPS of the Work/Café Expresso is 74 points, which has helped improve the overall opinion of the bank by 30 points. We also have our Work/Café StartUp, which offers a comprehensive solution to all the needs of entrepreneurs, and especially to increase banking usage carrying out finance programs, with the bank and even offer financing. This is a great way to support entrepreneurs and help them grow their business. Finally, we have launched Work/Café Inversiones a dedicated asset management Work/Café designed, especially for investment advice or clients or not clients independent of their income situation. In this branch, we offer weekly talks about different investment products or economic trends to provide advice services and in this way support financial education. At the bottom of the page, you can see how the use of digital channels and the transformation of our branch network is leading to a strong decrease in our branch footprint decreasing 24% in 2022, and a further 14% in 2023 reaching a total of 247 branches by year-end. Notably, 31% of our branches no longer have new human sellers with these branches providing value-added services like our traditional work effect. At the same time, our productivity has continued to improve with loan and deposit volumes per branch increasing by 24% year-over-year, and an 8.9% rise in the same metric per employee during the same period. On slide 11, we can see how our key initiatives with SMEs are driving an impressive growth in this segment. Our digital life account for SMEs continues to drive a 19% year-over-year increase in total SME clients, with more than 386,000 SME clients. Moreover, there has been a 21% year-over-year increase in active SME clients, when considering current account for businesses as reported by the CMF, we see a remarkable 25% increase capturing close to 35% of the total market as of October of 2023. Getnet, our acquiring business continues to be an important driver for capturing new SME clients as well as expanding into larger client requiring an optical solution for more sophisticated clients requiring, a more integrated payment system. Currently, Getnet operates more than 163,000 active point of sale, POS terminals across the country. During 2023, Getnet generated fees totaling Ch$45 billion and a net income of Ch$11 billion. Slide 12 illustrates how we have the best cost dynamics in the industry and the tight cost control supported by our digital transformation, that we have been able to exercise during 2023. As you can see, with our growing client base on launch of various Chile First initiatives such as Más Lucas and Work/Café Expresso, we managed to reduce our costs in Ch$57 billion. This was thanks to proactively implementing higher standard forecast portfolio online account and a dynamic CBD on credit cards. This among other initiatives enabled us to renegotiate our growth cybersecurity insurance. Furthermore, we are in the process of implementing gravity. The Santander Group's home ground digital cloud-native core banking platform. This technology is unique in the industry and has helped Santander become the first major bank in the world with in-house software that digitalizes core banking, allowing the bank to serve our customers faster, better, more efficiently and reliably. We are in Chile, in the finishing stage of the implementation of Gravity with Santander Consumer already implemented in 2023 and the rest of Santander-Chile in the first half of 2024. Our recurrence ratio that is, our net fees divided by total expenses is currently at 58%, substantially higher than the rest of the Chilean system. Therefore, the fees generated by our clients through current accounts and value-added products such as cards, insurance, mutual funds and -- are covering 58% of our expenses. Our cost, represent only 1.1% of our assets, compared to 1.5% in the industry. These key performance indicators underscore our organization's transformation towards agility, collaboration and high performance. On Slide 13, we're pleased to show that we have maintained our leadership in terms of our NPS, Net Promoter Score, creating a four-point lead in the fourth quarter with our closest peer and reaching a total of 60 points. Our NPS score is based on feedback, from more than 50,000 surveys measuring over 30 NPS metrics across our various service channels on a daily basis. This invaluable feedback allows us to proactively manage and improve our client service. Our digital and remote channels continue to receive very high levels of satisfaction from our clients, with our APP and our website reaching scores of about 70 points. Our contact center is also highly rated outperforming our peers. On Slide 14, we can see how we are moving forward with our employees. For the fifth consecutive year we obtained the top employer certificate. During the year we carried out three employee surveys called Your Voice, where we measure commitment, leadership and SPF, Simple, Personal, and Fair. We can see in the graph how these indicators have been steadily improving. We also want to highlight that in January we reached a new Collective Agreement with our 23 employee unions with the inclusion of further employee benefits and the adjustment of the working week to 40 hours reaching the country's regulatory target years in advance. In terms of diversity, we continue to steadily increase the number of women in higher proposition and Senior Management and with our Board elections in April 23 we became the listed Chilean company with the highest participation of female directors on the Board. Slide 15, shows our impressive progress with our standard Responsible Banking, goals. As you can see, a number of our original goals have already been met such as being among the top employers in Chile 100% of our energy coming from renewable sources thanks to our solar plant the elimination of 100% of single-use plastic, the granting of more than 19,000 scholarships and internships since 2019, to our surpassing the original goal and reaching 100% travel neutrality. Our remaining goals are progressing along nicely and are well on their way to meeting their targets for 2025. We have added an extra goal to have 40% to 60% of women on board of directors something we achieved in 2023 with 44%. Going forward, we will be reviewing where our challenges lie for the coming years and setting ourselves more ambitious targets that I'm positive we will meet. On slide 16, we can see how our efforts are translating into recognition of our leadership in the Chilean banking industry. In 2023, the Banker awarded us best bank in Chile, while Euromoney recognizes us the best bank in Chile and best bank for SMEs, corporate, social responsibility, diversity and inclusion and ESG. Furthermore, Global Finance also awarded Best Bank for SMEs and we gained recognition for our commitment to sustainability in the Latin Trade Index America Sustainability Awards 2023. Furthermore, our advancements in sustainability have been recognized by prominent sustainability industries with solid ratings from Sustainalytics and MSCI. More recently, we were confirmed as the only Chilean bank to qualify for the Dow Jones Sustainability Index for global emerging companies. Now let's talk about the trends in our results and balance sheet in 2023 on the fourth quarter. On slide 18, we show our results for 2023. As you can see on the quarterly graph, the net income attributable to shareholders rebounded very strongly, producing the highest quarterly ROE in the year of 16.6%. With this accumulated net income of 2023 total CLP496 billion decreasing 39% year-over-year impacted by the pressure on margins from the higher cost of funding. Our operating segments that excludes the corporate centers and ALM continued to perform well with 34.7% year-over-year increase in their net contribution with an important expansion in NII and fees with costs demonstrating the results of our strategy across the segments. Furthermore, the book value of our equity increased 5.8% year-over-year with our TNAV per share and dividend per share growing 12%. Overall, the accumulated return over our average equity for the year reached 11.9%. The results of our corporate and investment banking, or CIB have continued to be impressive increasing a 65% year-over-year growth. Net contribution from the middle market of corporate increased 27.9% year-over-year. Both of these commercial segments experienced an important rise in deposit spreads as well as high growth of fees and treasury income. The focus of this segment continues to be on our non-lending activities driving profitability. On slide 20, we can see that retail banking results increased 25.6% year-over-year, driven by the greater client base on more activity by our clients. Our active individual clients included 88,000 private banking and wealth management clients from 62,700 Santander consumer clients. And total individual active clients increased 8.1% year-over-year. Meanwhile our active individual clients have grown 20.9% compared to December last year. The margin in this segment increased 22.3% year-over-year due to a better mix of funding and loan growth. Fees in this segment increased strongly by 21.1% year-over-year driven by currencies due to greater usage and the increase in the client base, as well as the fees generated by Getnet. Provisions increased 56.7% year-over-year due to the growth of the portfolio slowing economic growth and the normalization of asset quality of our retail loans after historically low levels of nonperforming loans due to the increase of liquidity of our clients in recent periods. Operating costs increased in a control manner by 4.1% year-over-year as the bank continues its digital transformation generating greater operating efficiency. On slide 21 in the fourth quarter loan growth was driven by retail lending. Retail banking loans grew 3.1% Q-on-Q and 7.3% year-over-year driven by growth in mortgage. In recent periods, the origination of new mortgage loan has decreased due to high inflation and rates. However in the second half of the year, mortgage loans once again grew stronger than inflation reaching a growth of 2.5% in the quarter and 8.5% year-over-year in the way that clients adjust to market conditions. Consumer lending grew 6% year-over-year mainly due to credit card growth after quarters of construction. Between the end of 2019 and 2021 these loans decreased 7%, as clients reduce large purchases such as travel and hotels which fuels, which fuel credit card loans. At the same time, many clients paid off credit card debt with the liquidity of paying from government transfers and pension fund with goals. At the end of 2022, as household liquidity levels returned to normal and holiday travel resumed credit card loans began to grow again. Retail banking loans growth 3.1% in the quarter and 7.3% since December 31 2022 driven by growth in mortgages. In recent periods, the origination of new mortgage loans have decreased due to high inflation on rates. SME loans grew 2.4% in the quarter and after c. The COVID FOGAPE loans are now finishing and therefore, we are seeing a reactivation in demand for loans as well as the impact from the expansion of the SME client base through our digital accounts and Getnet. Our Middle Market segment decreased 2.1% year-over-year and grew 1.5% in the quarter. This increase is mainly due to the effect of translation gains on the loans in dollars mainly for our import and export clients. Around 21% of our commercial loans are in US and the Chilean peso depriciated 2.9% in 2023. This also explained in part by the 3.3% year-over-year increase in CIV and the 1.5% decrease in the quarter. Overall loans have grown 5.3% year-over-year and we expect loan growth to remain around mid-single digits in 2024. Slide 22. Liquidity levels remained strong in the quarter. The bank's total deposit increased 3.9% quarter-on-quarter and 9.6% year-over-year. The increase was driven by time deposits that increased 3.1% quarter-on-quarter and 24.3% year-over-year mainly due to an increase in large corporate deposits as the high interest rate remain attractive to clients while our demand deposits have decreased 3.9% year-over-year due to a shift to time deposits. The year-end saw a strong increase of 4.9% Q-on-Q in demand deposits, as our clients maintain higher liquidity levels. Our client investments through mutual funds intermediated by the bank also grew in the quarter reaching an increase of 5.4% Q-on-Q and 25% during the year. Bonds issued increased 9.8% year-over-year and 1.1% for the quarter. During the year, the bank has issued bonds in US, Chilean pesos, dollars and Japanese yens, taking advantage of attractive opportunities in the various fixed income markets locally and abroad. In the first days of 2024, the bank issued a senior bond for a total of CHF 225 million in the Swiss market, with a term of three years and a rate of 2.445%. It has been a while since we tapped this market and we saw great interest and demand from investors. The bank's liquidity coverage ratio, which measures the percentage of liquid assets over net cash outflows as of December 31 2023 was 202% well above the minimum. At the same day, the bank's net stable funding ratio and NSFR, which measures the percentage of illiquid assets financed through stable funding sources reached 106.5% also well above the current regulatory minimum set for this ratio. On Slide 23, we have simplified balance sheet to help explain the different sensitivities on our structural balance sheet. In terms of inflation, on the asset side, we have around $45 billion in loans, of which nearly 60% is linked to inflation. On the liability side, the bank does have some deposits and bonds in UF however, we also use derivatives to control our exposure to inflation. In terms of interest rates, our time deposits, some $18 billion have a maturity of 30 to 60 days in general. This means, that with the rate increases the cost of funding increases quickly however, now that the rate cuts have started the pass-through for our cost of funding is relatively quickly. We also have interest sensitivity due to the FCIC line from the Central Bank. At the beginning of the pandemic, the bank received a fixed rate credit line from the Central Bank as part of the FCIC program, which we swapped to viral rate in 2020. The FCIC is to be paid in two installments during 2024 on April 1 and July 1. In October 2023, the Central Bank launched a liquidity deposit program that offers Central Bank instruments as floating monetary policy rate, with maturities on the FCIC payment base. The bank began to replace part of the Central Bank papers that were in the available for sale portfolio with these liquidity deposits recognized in the held-to-collect portfolio. As of December 31, 2023, the bank has invested $3.9 billion in this instrument. For us, the payment of the FCIC will not have a significant impact in our NII, as we will be paying a variable rate liability with the variable rate decrease in deposit from the Central Bank. In terms of our net interest margin ratio, we should see an improvement as the denominator our interest-earning assets decreases as we use our liquidity assets for the payments. In terms of margins, the bank's NIM in the quarter reached 2.9% and 2.2% for the year. As shown on this slide, we separate our client NIM from our ALM activities. The client NIM which is defined of NII from our business segments over interest-earning assets has increased as deposits on loans spread up risen. However, our non-client NIM shows the effects of the U.S. GAAP between our assets and liabilities and our liquidity management. In general, the bank is well positioned for a full in real rates with our liabilities repricing faster than our assets. The variation of the U.S. in the fourth quarter was very high at 1.6%. However, we are expecting a very low inflation for the first quarter of 2024. This pass-through of the lowering variation in the U.S. to our merger is immediate and will pressure our margin gains downward at the beginning of this year. Meanwhile, the Central Bank of Chile cut interest rates again by 100 basis points in January, and we expect further cuts in the coming quarters. For 2024, we expect our NIMs to start weaker than the fourth quarter. However, recovering strongly as the year goes on to reach total NIMs of 3% to 3.5% for 2024 depending on the evolution of rate cuts in Chile. Moving on to asset quality on Slide 25. The NPL ratio reached 2.3%, a little below current trends due to our calendar effect at December 31. The coverage of NPLs as of December 2023 reached 157% and there has been no reversal of voluntary provision. Our impaired loan ratio, which includes the NPLs and restructured loans reached 5.6% still below pre-pandemic levels, but showing the same upward trend. We believe that NPLs will continue to increase slightly as asset quality follows the economic cycle on the labor market. On Slide 26, we show how the asset quality of the loan product was over the last four years. At this plan, we now have higher coverage for all our products, while the NPL ratio has been rising the impaired ratio remains under control for consumer and mortgage loans. Our commercial loan book is showing more signs of deterioration with NPLs reaching 3% and the impaired ratio of 7.6%. As we can see on the graph on the right, most of the effect is concentrated on the small and medium-sized companies. As a reminder, these SME loans account for around 9% of our total loan book. As we can see on Slide 27, overall, our cost of trade remained in line with our guidance of 1.2%. In the graph on the bottom left, we can see how the cost of risk per segment is now similar to where we were before the pandemic. We expect cost of credit to remain at those levels for 2024 with a better performance in the second semester. On Slide 28, we move to non-net interest income revenue sources, which continue showing exceptional growth trends. Income from fees on treasury rose 6.4% compared to the fourth quarter in 2022 and decreased 5.2% in the quarter. This decrease was mainly due to lower insurance brokerage and lower collection fees. However, commissions of our products continue with good trends. The gradual implementation of the new interchange fee regulation started in October and will reduce fee growth in the fourth quarter, and we estimate a negative impact increase in 2024 of CLP 25 billion and CLP 47 million for 2025. Considering this impact for 2024, we expect these lines items to grow around 8% with strong growth from client and products mitigating the interchange fee impact. The results from financial transactions increased 37.9% year-over-year, mainly due to higher gains on foreign exchange hedges and decreased 30.2% quarter-on-quarter mainly due to negative results in the inefficiency of purchase of the portfolio managed by financial management on the sale of portfolios in the period. As shown on Slide 29, we also can see the bank's efforts to continue increasing productivity and to control costs. Operating expenses decreased 5.6% year-over-year and increased 3% in the quarter. The quarterly decrease in personnel expenses is mainly due to lower spending on certain incentives in fourth quarter in line with the decrease in number of branches. Meanwhile, our administrative expenses grew 18% in the quarter, mainly due to higher IT and communication expenses and outsourced services such as technological developments in the quarter. During 2023, the bank has focused on advancing in the execution of investment plan of $450 million for the year 2023 to 2026 with a focus on digital initiatives and the renovation of France. Moving on to Slide 30. We observed a positive evolution of our capital ratio. At the end of the fourth quarter of 2023, the bank reported a core equity ratio of 11.1% and a total ratio of 17.6%, after the distribution of annual dividends that amounted to 60% of the 2022 earnings. In May, the regulator announced that from next year, the TM banks will need to include a countercyclical buffer of 0.5%. This together with a conservation buffer of 2.5% and the systemic buffer of 1.5% means that our minimum fully loaded forever Q1 will be 9% in December 2025. On January 17, 2024, the CMF applied the current regulation on additional capital requirements according to Pillar II, which contemplates two main topics, credit concentration risk and the market risk of the banking book. Our Pillar II requirement was established for six banks in the Chilean system. They did not afraid charge to Santander Chile on this occasion. However, the measurement of the market risk of the banking book will continue to be discussed and capital charges may be made in the coming years. On Slide 32, we conclude with some guidance for 2024. Our strategy of a digital bank with work assets will continue to provide us with greater digital client base with solitary growth and advances in operational efficiencies. For 2024, our market expectations are more positive with an estimated GDP of close to 2% and a UF variation around 2.5% with a monetized policy rating ending 2024 at 4%. With this, we expect loan growth to reach mid single-digits after economy reactivate. As rates continue to fall, our margins will continue to recovery reaching a rate of 3% to 3.5% in 2024. Depending on the evolution of freight cap. Non-NII should be growing around 8% with good customer product trends, but impacted by lower interchange fees. Cost of risk should be stabilizing during the year around 1.2% with assets quality following the economic cycle. Costs should be growing in line with its inflation, while maintaining best-in-class levels and effective tax rates will not -- will be normalized. With all of this, our ROE for 2024, we'll be recovering towards normalized, levels around 15% to 17%. With the first quarter of 2024 impacted by the low quarter inflation and reaching an ROE in the neighborhood of 10% in the first quarter with profitability improving during the year. Finally, our guidance for long-term ROE remains unchanged at between 17% to 19%. With this, I finish my presentation and now, we will gladly answer any questions you have.
Operator: Thank you very much for the presentation. We will now be moving to the Q&A part of the call. [Operator Instructions] Our first question comes from Mr. Tito Labarta from Goldman Sachs. Please go ahead, sir.
Tito Labarta: Hi. Good morning. Thank you for the call and taking my questions. A couple of questions, if I can. Just to follow up a little bit on the asset quality and loan growth, right? I mean, you're seeing a little deterioration there, but I think as you mentioned more normalization. Just how much more do you think you could expect in terms of asset quality deterioration and in terms of how that could impact the loan growth, right? If things cover faster than expected. Do you think there could be upside to your loan growth? Or any risk to get into that mid single-digit loan growth? And maybe just some color on the loan growth by the different segments where you see the bigger opportunities? Thank you.
Emiliano Muratore: Thanks, Tito. So first on the loan growth part, we don't see relevant risks regarding our guidance of mid-single digits at 6%. We see different composition in the way that growth should happen. We see more opportunities in the second half of the year for our consumer loan portfolio due to lower rates, lower short-term rates that are going to be probably in the market by the third quarter. Apart from that, we don't see any extraordinary risks to our guidance. We should see a relevant growth in our retail portfolio of SMEs and personal loans compared to a larger corporate customers. And regarding the cost of risk, we're currently at a 1.2% cost of credit. We see some pressures that are coming along with the cycle. Our employment is closing the 9% to 10% for the country. So this is pressuring a little – the NPLs. So NPLs would be going up to 2.5 to maybe 2.6 levels in the first part of the period and then normalizing, we see a more favorable second half of the year. So we are thinking of a total yield guidance of 1.2 for the cost of credit.
Q – Tito Labarta: Okay. That’s very clear. Thank you.
Operator: Thank you very much. Our next question comes from Mr. Ernesto Gabilondo from Bank of America. Please go ahead, sir.
Ernesto Gabilondo: Thank you. Hi, good morning, Emiliano and Cristian. Thanks for taking my call. I have a couple of questions from my side. The first one will be on your NIM guidance. So when making the numbers, I believe you're expecting NIM expansion between 110, 130 basis points to the 3%, 3.5%. So having said that, can you walk us through on how should we expect NIM during 2024, especially considering the maturity of the derivative hedge and after paying back the credit line to the Central Bank? So I was wondering, if we can divide how should we expect NIM for the first half and NIM for the second half? And then my second question will be on Santander Life. Can you talk a little bit more on how profitable is already Santander Life – I don't know if you can share like a P&L for this segment, what could be like the efficiency and the ROE for this segment? And I don't know if you have like a medium-term target for this business? Thank you.
Emiliano Muratore: Hello, Ernesto. This is Emiliano. Thank you for your question. I'll take the first one and I'll leave the second one for Cristian. So regarding the NIM profile for the year, I think that would be useful to see the NIM slide, where you see the evolution during the quarters in 2023, that definitely the effect on NIM is the combination between the level of inflation and the level of rates. So as you saw in the fourth quarter last year, we still have high rates but the level of inflation was high enough to be able to sustain a NIM close to 3% for the quarter. So in 2024, we have the first half with a NIM lower than the total year, lower due to two main reasons. First, that we have this negative CPI in December that is impacting the UF in the first quarter. So the NIM for the first quarter will be in the low 2%, if you want. I mean assuming that low inflation but it's true that the rate scenario has been evolving favorable for our balance sheet because the Central Bank cut 100 basis points once day, and also provided quite let's say [indiscernible] for our guidance. Then when you go to the rest of the year, the NIM will be going up because rates will keep going down and inflation will be closing the year in UF variation around 2.5, 2.7 for the year. And the second half will have NIMs going north of 3.5 probably because of the combination of rates and inflation. And also as you mentioned, that the expiration of the FCIC will imply, let's say significant reduction on the denominator of the balance sheet in total interest-bearing assets will go down, because basically we will be deleveraging the balance sheet paying of that liability with short-term, with short-term securities, and so that will make the arithmetic of the NIM to take it north of 3.5 for the second half and as you said, finishing the year between 3 and 3.5, depending on the combination of inflation and rates during the year.
Cristian Vicuna: Thank you for the Life question, Ernesto. While we are not disclosing yet specific P&L for Life, I can give you some numbers for your better understanding of the initiative. Currently, we have about $1.3 billion in customer deposits related to Life and about $100 million in consumer loans and in the Life account. Fees for the segment, means about $32 million a year in car fees for ourselves. So the monthly fee that the customer pays to access the car, that costs about $3. And we are currently having close to 100% of our live customers on a beta model with no relationship manager finds them. So, that's very, very helpful for us to drive the cost of serving the customer very low. And the customer acquisition cost for every single Life customer is paid within three months. That means that, on the fourth month, that a Life customer gets into the bank, it's already profitable. So, those are some figures to give you some flavor of how the Life its currently performing.
Ernesto Gabilondo: Thank you, very much, Emiliano and Cristian. Just a follow-up on Santander Life. So, how many clients do you have today? I don't know if you have a target to get or to approach to a certain amount of clients.
Cristian Vicuna: So currently in terms of current accounts, total current customers for the bank, we have about 300,000 -- a little more than 300,000 SME customers, 1.3 million Life current account customers and about one million to the -- one million traditional current accounts. So that's 2.6 million current accounts total. We're aiming to get by 2026 to an area of 4.5 million customers. So we are closely monitoring these figures to drive our customer expansion.
Ernesto Gabilondo: Perfect. Thank you, very much.
Operator: Thank you, very much. Our next question comes from Mr. Yuri Fernandes from JPMorgan. Please go ahead, sir.
Yuri Fernandes: Hey guys. Thank you, very much for taking my question. I have a first one regarding the normalization of taxes like in the guidance, what normalized tax mean like, if you can provide a range on that? Then I would like to ask about deposits. When we -- I like a lot you're breaking down by business units, right to have the retail the middle the corporate. But when I check like the deposits grow, it seems that most growth is coming from CIB, right? Like potentially larger, like more wholesale kind of funding. So my question is what you are seeing on the funding side? Are you like, I don't know maybe households they're still in a more challenging scenario and you don't see a lot of retail deposits. But just want to get some help to understand a little bit, the funding cost on the bank going forward because, a point of concern is that the wholesale funding may be a little bit more expensive. So, I'd like to get your thoughts on this different deposit growth. And then I may do a follow-up. Thank you.
Cristian Vicuna: Thank you, Yuri. I'll take the tax one and Emiliano will address the first one. Regarding tax to [indiscernible] tax rate for Chilean NTVs [indiscernible] operations in 27%. Normally, our historical tax rate on normal inflation years and without dollar effects between 23% to 25%, we expect inflation will be more in the 2.5% range this year to be reaching those levels. And anticipating a little Emiliano's answer there is some certain sectionality in the last quarter in terms of how corporations display their end of year manager of their deposits. So, it's like a sort of flight to quality and we see its vesting flows from those companies in December, but more detail with Emiliano.
Emiliano Muratore: Hello Yuri. Thank you for the your question. Now, then regarding like cost of funds or cost of deposit, I think that going forward we have two main like tailwinds. I mean first is like the rates going down, so the cost of time deposits will go down significantly during the year. We have been doing -- we'd say a very aggressive tactic in terms of pricing the different segments in individuals and SMEs trying to increase the margin coming from time deposits. Actually when you look at the beta -- taking the beta, the average cost of time deposits in pesos for the whole bank compared the monetary policy rate, we were able to take that from 92%, 93% of the rate to close to 80%, 82%. I mean that's because we have been -- that's implied as you mentioned some kind of loss of balances from maybe affluent or private banking clients that are more price-sensitive. But as an overall strategy was very profitable for us. So, the cost of time deposits will be positive going forward. And the second is the mix. As you were pointing out the wholesale or middle market to bigger corporates has been doing better in terms of liability balances, but it's also true that it's -- it was the first -- it was the first segment to stop falling in demand deposits and stabilizing and now starting to grow demand deposits, which are non-interest bearing. So, also the mix between time and demand deposits that was part of the headwind we had this last few years because of the level of rates and the opportunity cost that the clients have. Now, going forward we expect that mix to start improving from where we are now and we are relatively like optimistic with how the cost of fund will support the NIMs going forward.
Yuri Fernandes: Super helpful Emiliano and Cristian. If I may just on a more strategic question here on the client mix, you discussed life previously and you have this breakdown customers by segmentation, you were doing Getnet, you have the Delta strategy. My question to you is regarding the mix of clients going forward, right? Historically, I think you -- most of your retail clients, they are higher income. Is there any change to that like is Santander willing to go more lower income in Chile? Like how should we think about like your positioning on the customer mix in Chile going forward? Thank you.
Emiliano Muratore: Yes, I mean definitely as you said if you compare the mix in terms of number of clients, now our composition is much more geared to the middle low part of the pyramid. And I would say that the main driver for that switch of the strategy and also going forward is digitalization, right? I mean the cost to serve clients with branches and with an account representative for each client that is a very expensive model to serve and that's historically produced that only middle to high-income individuals were able to create enough revenue to sustain such an expensive model to start them. And now with all the work we have been doing in developing the digital solutions, we are able to have a very efficient -- cost-efficient model to serve any kind of clients. And as we were showing the Life initiative because of the balances it created in terms of deposits and also the credit presentation we are seeing is a very profitable source of business for us. So, yes, I mean, I would say that, the number -- we have the ambition to grow in number of clients, and in the composition definitely compared to, I don't know 5, 10 years ago that will be much more massive, if you want. We don't have at this moment of the cycle any specific high appetite for lending and for credit, because we are -- as we are seeing the economies still going out of the recession we had. But definitely that will provide some raw material going forward to cross-sell or to up-sell and even the pure transactionality with how efficient we are in the digital solutions makes a business case to sustain the client on their payments and their transactionality. Looking forward to up-sell and cross-sell them depending on their behavior and their profiles.
Yuri Fernandes: No, no. Very clear and makes a lot of sense. Thank you. Thank you, guys for the answers.
Operator: Thank you. Our next question comes from Ms. Neha Agarwala from HSBC. Please go ahead, ma'am.
Neha Agarwala: Hi. Thank you for taking my questions. Could I clarify on the liquidity after you repaid the Central Bank bonds during the middle of this year should that pressure your liquidity? Could you clarify that? I think you have deposits to cover for it. But if you could just clarify any impact on liquidity coming from that? And my second question is on asset quality. You mentioned the pocket where you're seeing some worsening in the SMEs. But any other part of the loan book where you're seeing stress? And any extraordinary provisions that you would like to make during the year for any of these segments? Thank you so much.
Emiliano Muratore: Hello, Neha. Thank you for your question. I'll take the first one and I'll leave the second one for Cristian. So regarding the maturity of the FCIC that won't create any liquidity pressure, because as we mentioned some calls in the past the Central Bank in January of 2023 established a kind of phase out strategy or regulation for banks that basically forced banks to start buying high liquid assets starting January 2023 to cover 100% of the maturity of the FCIC. I mean, what that means is that by the date of the majority we and all the rest of the banks we'll have 100% of that money in short term or maybe not short term by highly liquid assets. And that's why in terms of the calculation or computation of the NIM, and any other ratio that uses total assets or interest-bearing assets as a numerator that we'll create because at the end, we have roughly speaking like 10% of the assets in that facility that will go away together with liability. So in terms of liquidity, let's say that, we'll reach that maturity with a 100% pre-funding on that and won't impact. I mean, it has been impacting if you want during this last year and by the date of maturity we will have it fully funded.
Cristian Vicuna: So, Neha, regarding a deep dive into our asset quality. First, we're very happy with the current performance of our consumer loan book. It's actually very, very healthy. Regarding the mortgage loan, the mortgage loan we are monitoring very closely the performance, because there are some specific very specific parts of the portfolio that are suffering due to the higher rates, and the well inflation over the last years that have increased their monthly payments, but it's something that's very concentrated on specific and little part of the portfolio in the mortgage book. And regarding, the commercial portfolio, let me remind you that we have about a 14% total market share for the commercial portfolio. And when you look at, how it's composed, we have about an 11% market share in the single name, like individual large middle market on corporates and about 20% market share in the SME portfolio. So we are actually quite at ease with the larger part of the portfolio the commercial, middle market and corporate. But in the SMEs, we see pressures in three specific industries, construction and real estate that has been something that is happening worldwide. Very, very short-term funding stressed by higher rates and the increased cost of materials and construction costs that is impacting that segment. Agricultural particularly in Chile, because of the flooding of the Nino range in the third quarter that has impacted crops and hotel and restaurants that have been suffering since 2019 and COVID and a very specific names there in the semi portfolio that are stressed. So all-in-all, we see this as a very contained but -- and I expect that I give you a little more understanding of how this is going to be working on.
Neha Agarwala: Super helpful, if I can just verify the numbers. You mentioned that you have about 11% market share in the very large corporate, and about 20% market share in the SME. And it is in the SMEs for specific cases you are seeing some problems. But the large accounts are okay?
Cristian Vicuna: Yeah. Exactly.
Neha Agarwala: Perfect. Thank you so much.
Operator: Thank you very much. Our next question comes from Mr. Ewald Bittencourt from BICE Inversiones. Please go ahead sir.
Ewald Bittencourt: Hello. Thanks for the presentation. How do you expect to build the addressable market size of lower-income clients and thus the profitability of digital initiatives in targeting those segments considering the regulators increasing some loan loss provisioning, needs capital needs? Thanks.
Cristian Vicuna: So Thomas [ph], can you explain a little more your question? So I didn't really get what…
Ewald Bittencourt: Well, my question is, how do you expect -- what's your expectation for the total market size of lower-income clients to evolve given that the regulator has increased some loan loss provisioning needs? Or at least is targeting to increase those loan loss provisioning needs? My question revolves around if it's -- if you expect to still be profitable those digital initiatives you're targeting given that the total size of potential clients could decrease?
Emiliano Muratore: Yes. So Ewald, I'll take it. So, yes, your question is to say it implies more on the economics of lending, which definitely is a revenue source for our business. But that's, kind of, a middle to low part of the pyramid clients like most of Life clients also Más Lucas clients. So that we can make money without lending much say our customer acquisition cost for those digital clients. I mean in the first part of the life cycle, it was like close to $1 or $2. I mean that was very too good to maintain. Now we are closer to the $7, $10 of customer acquisition costs. And when you look at the lifetime value of those clients, mainly on liabilities rationality on met businesses, you see you get the payback close to four, five months in that. I mean and then you have some attrition. And so, we think that we can make a profitable business with that number of clients, despite the fact that when we consider lending and start penetrating them with different products for lending. We have to factor in, as you said, higher costs in provisioning and also in capital, but we do expect to keep being profitable in acquiring those kind of clients despite the higher regulatory pressure on our volume.
Ewald Bittencourt: Okay. Thanks very much.
Operator: Thank you very much. Our final question comes from Mr. Daniel Mora from Credicorp Capital. Please go ahead, sir.
Daniel Mora: Hi. Good morning and thank you for the presentation. I have a couple of questions. The first one is regarding the performance of the new credit card loans. We saw during the last quarter a strong pace of growth with a double-digit growth even quarterly and annual. And I would like to understand if you are feeling comfortable with the performance of these loans with these new vintages or should we start to think that the performance is worse than the -- for example, the loans that were disposed at the beginning of 2023 or 2022? That would be the first question. And the second one is regarding the guidance of ROE. Just trying to understand the 15%, 17% range that you provide in the presentation is the full year ROE, because if we start with the first quarter with a 10% ROE. It means that in the second half of the year, we should be close to the 20% or even above? Thank you so much.
Cristian Vicuna: Daniel, thank you for your question. I mean let me start with the second one. Yes, that is the full year guidance for ROE. And as you as you mentioned, starting at 10% fourth quarter, assuming the path of rates that even after the Wednesday meeting that the Central Bank has stated that the neutral rate of 4% will be reached during the second half. You get ROEs close to 20% that, let's say, give you that average of 15% to 17% for the full year. And regarding asset quality in credit cards, I mean we are comfortable. I mean what we are seeing -- when you look at the graph of the evolution of the credit cards, you have to factor in also the effect of inflation. I mean definitely, in terms of nominal pesos, the credit card business has a very tight linked to inflation. And so when you look at the evolution of the balances in real terms, let's say, we are going back to the pre-pandemic levels. I mean at the end what happened is that households get a lot of liquidity from the pension fund with grows and also from the fiscal hubs during the pandemic. So part of that liquidity was spent and part of that liquidity was invested and part of the liquidity was used to pay back debt basically households deleverage -- got some deleverage rent during the pandemic. And now they are going back to normal levels of leverage and we know quite well that the clients have their profiles and we are not seeing a specific deterioration of the new businesses in the credit cards business.
Daniel Mora: Perfect. Thank you so much. That will all from my side. Thanks.
Cristian Vicuna: Yes.
Operator: Okay. Thank you very much. It looks like we have no further questions. I'll pass the line back to the management team for the concluding remarks.
Emiliano Muratore: Thank you all very much for taking the time to participate in today's call. We look forward to speaking with you again soon.
Operator: Thank you very much. This concludes today's conference call. We'll now be closing all the lines. Thank you and goodbye.